József Váradi: All right. Good morning, everyone. Thank you for coming. So I would say that last time we gave you a hell of a story with a lot of details and you crossed us. This time, we're going to give you no story with no details. So I hope you understand what you have to do as a result of that. So let me just -- could you please just move the slide? So with regard to Q1, this is the period what we are reporting on. We are seeing positive developments on RASK, improving balance sheet, and we believe that trading is largely in line with market expectations. There have been certain decisions affecting performance but those are kind of one-off timing-wise so not structural. But looking at the structural matters so we are back into growth. So Q1 delivered over 10% passenger growth. This is now significant after a period of standstill, given the GTF grounding situation. Look at the financial metrics. EBITDAR is up 9.4% year-on-year. RASK is up 2.2%. The CASK performance obviously varies depending on the component you look at, fuel is down given the macros out there, but ex-fuel CASK is up, given some of the specific issues we will be elaborating on. If you look at the quarter itself, obviously, April got boosted by Easter but June got negatively affected by the withdrawal of capacity from Israel. You recall the flare of events between Iran and Israel. We decided to pull capacity. Israel is a strong component of our commercial program in terms of revenue performance as well as profitability, and we reallocated that capacity for summer across our network. Now Israel became consolidated and we are back into flying starting in August. But really, by the time this capacity will be full- fledged to pregrounding levels, it's only going to be mid-September. So there is an affection of that in Q1 and there's going to be an affection of that in Q2, too. If you look at liquidity, liquidity is improving. Our liquidity cover as a percentage of running 12 months revenue is up to 36% versus previous 34%. So we're seeing that structurally, the KPIs are moving to the right direction. If you look at the period in front of us, Q2 RASK, we are expecting it to be flat. This is somewhat down versus our previous guidance as a result of Tel Aviv, I just elaborated. But also, I would say that the Abu Dhabi wind down is also affecting the revenue performance. I mean, this is a gradual wind down throughout August and the hard stop at the end of August. H2 capacity is still, to some extent, uncertain. I mean, there are a number of moving parts we are dealing with. Certainly, we are dealing with an accelerated unparking of Pratt & Whitney aircraft, so part of the deal what we announced a few weeks ago in Paris also contains kind of an accelerated path for unparking. And now we are setting a target for middle of 2027 against a lot worse outlook at the time more falling into 2028. But that requires collaboration between Pratt and Wizz and more spare engines to be inducted into the system to make sure that actually we can lift the grounded fleet. So that's 1 component and that has an impact. Obviously, the Abu Dhabi withdrawal has an impact of reallocating capacity from hot and harsh to benign environment in Central and Eastern Europe and genuinely refocusing in Central and Eastern Europe. As a result of those 2 factors, we are now talking to Airbus with regard to new aircraft deliveries. It's going to be moderated. The overall growth rate is going to be taken down to 20% to around 10% to 12% over the course of the next 2, 3 years in order to have this transition and ease the capacity pressure on the company to improve performance. So all these things are kind of in limbo at the moment or at least in discussion right now, but we think that we're going to be able to clarify this in the next 2 months or so. And also importantly, the XLR component, I mean, very clearly that as Abu Dhabi is gone, the XLR program is going to be rescaled, downscaled significantly. Good news on the XLR, we are very happy with the performance of what we are seeing in the U.K. So I think the U.K. remains a candidate for XLR program. But group-wise, it's going to be a much smaller program than before. Then if you look at fiscal '27, we're seeing that this is the financial year when the cost picture is going to improve, given the exit of the A320s, I mean, very shortly, we will be fully converted into neo operations. And the A320 is, on the one hand, a dragging return cost and affecting cost performance that way. And also, it is an inferior performance relative to neo when it comes to fuel burn and overall operating cost of the airline. And also given the acceleration of unparking with Pratt & Whitney so the grounded aircraft ratio will continue to fall and will give us a better cost picture going forward. And I think we should start seeing the evidence of that in fiscal '27. And with that -- with those remarks, let me turn it over to Ian.
Ian O. Malin: Thanks, József. Could you go to the next slide, please? So we saw top line momentum with total revenue up 13% to EUR 1.43 billion, with ASK growth up 11% through restored network scale while load factor held at 91%. Ticket RASK was up 2.5% on disciplined pricing and marginally higher loads, while ancillary RASK increased 1.6% from EUR 0.73 per pax higher spend, which is trending back to target levels. The reported profit after tax of EUR 38 million was powered by a EUR 65 million FX gain that offset a step-down in predominantly engine sale leaseback gains from the prior quarter. Operating profit reduced because nonfuel costs rose faster than revenue as we restored capacity growth this quarter. Thanks to positive cash flow, we cut net debt by EUR 251 million to EUR 4.71 billion with EUR 1.96 billion in gross cash at the end of the quarter. In summary, revenue is comping ahead of last year, cash continues to build and FX gains have cushioned the P&L while we continue to work the cost line. The strategy is to keep this momentum while engines come back and unit costs ease. Next slide, please. Going through the cost lines. Maintenance CASK is up 6% year-on-year. Half of this unit cost increase is attributable to higher costs associated with having a greater number of older aircraft that we would otherwise not have had in the fleet had it not been for the groundings last year. And we were protecting capacity last year as we discussed in the last quarter. Airport handling and route charges are up because of higher navigation charges from a rate hike that happened this past January, which we didn't have last year, and currently, a network mix that favors larger airports. This is part of the network redesign that will be addressed especially as part of the focus on Central and Eastern Europe. Depreciation reflects the same pressure that we also explained last quarter from certain maintenance-related depreciation being recognized the closer an aircraft reaches the end of its lease. However, of the EUR 0.05 increase, half of that was attributable to an early redelivery of a ceo aircraft, where the remaining maintenance asset value had to be written off in the quarter rather than spread over the remaining lease term. In terms of total ex-fuel CASK, half of the increase relates to lower sale-leaseback gains, which are embedded in the other expenses line, and this is a timing issue. To put it into perspective, we basically did fewer sale-leasebacks this quarter than last quarter -- last year this quarter. So last year in fiscal year '25, we did in total 16 aircraft sale-leasebacks. We anticipate doing 42 aircraft sale- leasebacks this year. And so the pace of sale-leaseback transactions will pick up in the remaining quarters of this year, heavily weighted towards the second half of the year. I should point out that fuel cost is down 14% per ASK, thanks to hedging and lower spot rates. And I'll wrap up this slide by pointing out that we expect unit costs to peak in H1, and from fiscal year '27, we get 3 structural tailwinds, more CEO retirements, the Airbus A320 family CEO retirements, grounded aircraft returning next to engines from the latest Pratt & Whitney deal and scale leverage from a second consecutive year of growth. Next slide, please. Sorry, this slide is fine. In terms of cash, so we ended 7% up quarter-on-quarter from last year to this year. Where we stand here today, as of yesterday, we're at EUR 2.1 billion in cash so we've added to the cash buffer since the end of the quarter. And we are still anticipating to simply repay the bond, the January '26 bond of EUR 500 million, and we roll over the emissions trading repo agreement just like we did this year, so no change on that. So cash continues to build nicely and will continue to build as we deliver the sale-leaseback activity from this year. We also continue to build our hedge -- our balance sheet hedging portfolio or our cross-currency swaps, so these are basically swapping our U.S. dollar liabilities into euro. And between the cash that we have on hand and the swaps that we've built in, we're 90% covered. So any fluctuations in FX rate will be much less volatile to the P&L based upon the protection that we have here. So that's been a big effort. As the dollar weakened, we ramped up our hedging and built that position up. So overall, from a balance sheet perspective, we are in good shape and our overall net debt reduced as a result of the cash generation. So that summarizes that slide, and I'll hand the floor back to the strategic part. Thank you, [indiscernible].
József Váradi: Thank you, Ian. Can you please...
Ian O. Malin: Sorry, in terms of outlook, yes, so we're withdrawing our full year guidance and focusing simply on Q2. So Q2 ASKs will be up high single digits. So we were up 11% in the Q1. We'll be up high single digits in Q2. That reflects some of the disruption around the Middle Eastern escalation starting in June in Tel Aviv into the Iran flare-up as well as the tapering off of the Middle Eastern -- of our Abu Dhabi operations, which is currently underway. So we anticipate being completely out by or -- before or by the end of August from our Abu Dhabi operations. Some of the aircraft are already -- two of the aircraft are already back in Europe with 2 more on their way, and then there'll be 8 ceos left that will be brought out. And we're still trying to figure out what exactly the plan is, but they will be certainly parked for a while due to the reregistration from one authority to the EASA authority. In terms of load factor, we expect it to be flat this year and we also expect Q2 RASK to be flat. Fuel CASK will still benefit from the favorable pricing and the hedge benefits, so down high single digits. And we think that -- we expect that ex-fuel cost quarter-on- quarter will be much better than the ex-fuel cost trend that we saw for Q1. And that's where we are in terms of outlook.
József Váradi: Thank you, so please, next slide. All right. What we are trying to achieve here is to take note of a number of issues affecting the business. I think we have been talking a lot about Pratt & Whitney. We have been talking a lot about geopolitics. We have been talking a lot about hot and harsh. And if you kind of put that together and you take an integrated view, really what we are doing here is defaulting on our strengths and our strength is Central and Eastern Europe. Central and Eastern Europe is the market where you observe stronger GDP growth than in Western Europe, significantly lower propensity to air travel, so that gives you the ability to stimulate the market. Market leadership. We are the single biggest airline of all in Central and Eastern Europe and strong operational and financial performance. And let's not forget, this is a benign environment for purposes of the operational metrics. So I think we have been trying to explain what we are doing in Abu Dhabi. We've made announcement of suspending operations by the end of October. So we are putting up a wind-down plan to best execute against that deadline. We have 12 aircraft currently registered in Abu Dhabi, of which 4 are neo aircraft and 8 are ceo aircraft. The 4 neo aircraft are going to be redeployed across our network. I mean, obviously, this is the best aircraft what we have, and that aircraft is in high demand across the Wizz Air subsidiary, AOC subsidiary system. The 8 ceo aircraft will be effectively grounded for a period, with operations expected for Christmas to support the high demand period. I mean, 2 of the 8 will be returned to rest for [indiscernible] event summer 2026, so they are less of an issue. So basically, the remaining 6 aircraft will be redeployed across the network, and we will make announcements for that in due course. But we don't want to overinflate the winter capacity by redeploying it imminently because I think that would probably result in negative cash positions here and there. But at the same time, we're going to take advantage of excess capacity in the high level period for Christmas. In terms of P&L impact, it's going to be pretty limited, if any, during fiscal '26 because you are removing a loss-making operation versus some wind-down costs. So we think it's roughly a wash. And clearly, we're going to start seeing upsides in fiscal '27 and beyond because we will no longer carry that baggage. So this is the Abu Dhabi situation. I think you understand the reasoning, et cetera, we have been explaining this. But if you have any further questions, we will be happy to reiterate those. Then the second very critical line is unparking the grounded fleet. I mean, however we look at it, yes, we are getting compensation from Pratt & Whitney, but that compensation does not cover all the cost of grounding and certainly does not cover the opportunity cost of grounding. As said, the latest engine selection agreement goes beyond the engine selection itself. It has a very heavy component run recovery of the current engines. And we're seeing that, that agreement enables us to accelerate that recovery process. And as opposed to getting that process prolonged to 2028, now we are putting a plan in place to make sure that by mid-'27 actually, before the high summer season in '27, the entire fleet of Wizz Air is in the air. This is yet work to be done and -- but we think that very shortly, we're going to be able to confirm that with you. But this is the target what we are setting, and we are working together with PwC -- Pratt & Whitney to achieve that. Then, of course, we are looking at further reallocation of capacity away from hot and harsh into benign environment to make sure that even in this interim period, we are saving engine lifetime. The third key initiative we are taking is rightsizing the fleet for growth and kind of fleet structure. First issue is the XLR. We have a total aircraft portfolio of 47 aircraft for XLR. This is going to be largely descaled. So you recall that we said the XLR basically was an initiative on the base of 3 kind of types of market opportunities: from Abu Dhabi to Western Europe, from Central Europe to India, and from the U.K. to the East Gulf, et cetera. Now Abu Dhabi is gone. So that has taken over the picture. Central and Eastern Europe simply is just not a priority for XLR. So we're seeing that we have bigger fish to fry by addressing benign network opportunities as opposed to, again, exposing the fleet to hot and harsh because, I mean, India would be completely hot and harsh. But we remain pretty upbeat about the U.K. So we're seeing that the U.K. remains a significant market opportunity for the XLR. So we will continue to explore XLR opportunities for the U.K. But obviously, that requires a different scale of fleet to satisfy that market need so we are adjusting the fleet size accordingly. So really, I think when you look at XLR overall within the group, I mean, this is a very small niche in the big scheme of things. Probably going to take not more than 2%, 3% of the total capacity of the airline. The retirement of the ceo fleet is an ongoing initiative, as you know. I mean, we have an aircraft redelivery program against an aircraft delivery program to support that process. And we are looking at ways of accelerating the retirement of the ceos. And as the situation unfolds, of course, we are updating our fleet plan accordingly. But in a fairly short space of time within 2 years, effectively, Wizz Air will become an entire neo operator. So we will take full benefit from fleet commonality on the one hand, from density and gauge of the fleet and also embedded economic and sustainability performance of the renewed neo operation. As a result of accelerating the unparking, reallocating some capacity coming out of Abu Dhabi and in order to take off the pressure from execution to transition the business, we are going to moderate overall growth. So as I said, as opposed to targeting the 20%, 20- plus percent growth rate over the next 2, 3 years, we're going to take it to half, roughly speaking. So you should be expecting us to deliver growth more in the range of 10%, 12% going forward for the next 2 to 3 years as opposed to the 20% target. We think this transition needs to be made. This transition is structural. I think this is structurally going to improve performance, operations and financial metrics of the airline, and we want to make sure that we can execute this as best as we can without creating inflationary pressure on capacity. And with all of that, obviously, the focus is going to be renew to Central and Eastern Europe. Central and Eastern, let's not forget, is our core market with all the features that I just explained to you. So indeed, we are defaulting on our success. We are defaulting on our strengths going forward. Next slide, please. Yes, so just quickly on Abu Dhabi without trying to overexplain this. So 3 issues we are addressing. And maybe you could argue that if these issues would have been only one, maybe we could have overcome that one, but the 3 issues combined on a cumulative basis basically just reached critical mass versus the level of tolerance what we were able to observe. So one is engine degradation, we have been talking about that. Two, geopolitical disruptions. I think you understand it. And three is kind of the changing climate in terms of regulatory matters and our ability to access key markets in Abu Dhabi led us decide to withdraw from the market. I think that's a positive decision. You should see it as a structurally good thing for Wizz Air because that certainly eliminates a distraction, that eliminates underperformance in the market, and that creates significant capacity, management time and management focus for really tackling the real opportunities in the core business of the company. So I think it's going to be good. Yes, of course, we have to execute and we have to go through this process. But as I said, this is fairly neutral when it comes to performance in the current year, and it creates significant upside going forward as of fiscal '27. Next slide, please. So let me just sum it up. So Q1 fiscal '26, we think it's pretty much in line with expectations. Yes, some painting here and there, especially given the Iran-Israel conflict and the consequence of that on capacity and revenue. But structurally speaking, we think that our performance is in line. But of course, we are heavily impacted by the Pratt & Whitney engine situation, and that's why you are seeing kind of inferior performance versus market versus other airlines as a result. We are taking structural actions. I don't think that we are just trying to operationally process and commercially process the issues, but we are actually correcting all the issues to make sure that those changes are structural and affect long-term performance in a positive way. This is the withdrawal from hot and harsh, the reduction of XLR exposure as well as the exit of Abu Dhabi. It is the acceleration of the grounded fleet, the uplifting of the grounding fleet to make sure that our unit cost performance comes in line with previous standards and exiting the ceo which obviously will derive significant fleet benefits for the company, given the technology and given the efficiency of the neo fleet. And I think that will give us a lot more stable platform to create predictability and stability for the business to guide the market and get us back to the standards you would be expecting from Wizz to deliver, especially when you kind of refer to the pre-COVID period. So thank you for listening and now this is up for questions.
Operator: [Operator Instructions]
Alexander Irving: Alex Irving from Bernstein. Three for me, please. First of all, a factual question on the cost of exiting Wizz Air Abu Dhabi, how much, when and is this part of your Q2 CASK ex guidance? Secondly, around the XLR reduction in the fleet plan from 47 to 10 to 15 planes, is this conversions to regular A321neos or is this an actual cut to the aggregate number of aircraft, please? Or what's the balance between that? And then maybe third, what will you use the XLRs for if you're not going to Abu Dhabi? You talked about the U.K. to the Gulf. That sounds like hot and harsh. You talked about CE to India. You said that's hot and harsh and Abu Dhabi is gone. Is this -- are we thinking about transatlantic, are we thinking about Sub-Saharan Africa? Is there anywhere else to go with these planes? Why do you need any XLRs at all?
József Váradi: Thanks. Let me start with the XLR question. So with regard to the fate of the XLR order, that's conversion. So we are not talking about canceling. We are talking about converting, which is a good thing in a way because I think that eliminates some complexities or minimizes complexities, I would say, going forward. But we are in discussions with Airbus so I cannot comment on the very terms and very timings on each of the aircraft. But I think fairly shortly, we can come back on that with a confirmed position. But with regard to target markets for the XLR, we don't have plans for transatlantic. So you should not be expecting us to fly over the Atlantic from the U.K. But indeed, that the XLR will continue to create a hot and harsh exposure but a lot more limited than what we are having at the moment. So if you look at hot and harsh, maybe the best way to think about this is that right now, we are touching down on 29% of the capacity in hot and harsh. What is hot and harsh, okay? So first, I think it's worth defining. So hot and harsh would be Cyprus, would be Israel, would be Canary Islands, would be Morocco. It would be the whole of the Wizz Air Abu Dhabi operation, of course, would be the whole Gulf, Jordan, et cetera. So hot and harsh is not an issue for Wizz Air. I mean, everyone is facing hot and harsh exposure, every other low-cost airlines. I mean, some of the low-cost airlines fly more to northern Africa, that's hot and harsh too. I think the challenge here is that how do you contain that exposure more than what we are at this point in time. So we don't have an objective of completely eliminating hot and harsh. I think we would be really cutting ourselves into key consumer demand. I mean, people go to Turkey. People go to Egypt. People go to Morocco. So you want to serve those consumer needs. But at the same time, you want to make sure that it is totally rational, whatever you do is totally profitable. You are not in investment mode when it comes to hot and harsh and you contain the exposure as much as you can, taking the engine situation into account. So I think the XLR being exposed as to hot and harsh, but yes, I think the target markets are towards the Middle East, towards northern Africa -- sorry, towards Africa from a U.K. perspective, certainly not over the Atlantic.
Ian O. Malin: Okay. I think it's also important to understand from hot and harsh, there's 2 things. One is the actual degradation from the environmental conditions impacting the engines and the stress it puts on the engines due to heat and due to the particulates in the air and things like that. But there's also a contractual definition of hot and harsh. So there's a real cost that comes through the engine performance or lack of performance. There's also a defined term in certain contracts, maintenance contracts on engines and also on other elements of the aircraft are subject to hot and harsh definitions. So for example, Kazakhstan would be a benign environment, but Uzbekistan right next door is a hot and harsh environment, and that's something that you need to negotiate with your suppliers. The United States is a benign environment, but we know that flying to Arizona is probably no different than flying to the Middle East. And so there's an element there that you need to work through from a cost perspective to make sure you get it right. And that's one of the things that's important. That's why we spend so much time talking about hot and harsh. In terms of the cost of winding up Abu Dhabi, so we put a lot of thought into this and ultimately costed it out and determined that it is substantially better for us under the circumstances that we are operating to get out. The incremental cost of exiting, we don't think would be that bad. A lot of the costs are already incurred so we've got accruals for certain employee-related elements and things like that. The aircraft, we'll have to deal with anyway at some point and so those aircraft costs are not incremental. What we do with them between now and finding an appropriate network solution for them remains to be seen. Like we said, we're going to park them in the near term. We'll have to park them in the near term. So that will have an impact. But maybe from a capacity perspective, it's better to park them than to fly them in the winter. But the real benefit comes from ceasing operations in September. So that right there will generate a lot of upside, just simply not having to do that. And we think the upside should more than cover any of the downside associated with the wind-up costs from the employee side, the wind-up costs from dealing with the suppliers. There are no penalties. There are no payments due to anybody from our partner. In fact, we're working with a partner right now on the plan to wind up. And so we're doing it in an orderly fashion and trying to get to that as fast as possible. But ultimately, this is upside. We think there will be upside for this year and certainly upside for the future years.
Alexander Irving: Just to be clear then, we shouldn't be modeling any material one-off costs in Q2 for exiting the JV?
Ian O. Malin: Correct.
Jaime Bann Rowbotham: Jaime Rowbotham from Deutsche Bank. Two for me, please. Ian, on the CASK ex-fuel, just looking at Slide 3, plus 14% in Q1. For Q2, you've said the year-on-year trend will improve. Obviously, you've given yourself quite a bit of wiggle room there because in my mind, that's anywhere between flat and up 13%. Wondered if you'd care to maybe narrow that range a bit. Clearly, there's some big moves on net other, a headwind in Q1. I think it's going to be a tailwind in Q2. But if we focused on the important lines, staff, maintenance, airport handling, depreciation, distribution, where we can see what's happened on a per unit basis in Q1, should we expect similar on those important line items in Q2? Second one, just on flying to Israel. I think easyJet have already taken the decision not to bother all the way through to spring 2026. They've decided it's easier to just decide we're not doing it. What's your thinking there? Because I think, Joe, you said from mid- September, you might be going back to normal or planning for that. So any thoughts there, please?
József Váradi: Maybe I'll start with Israel. So I think we also need to kind of create context here. So we keep referring to certain European airlines going back to Israel or not going back to Israel. But Wizz Air is as big as all the European carriers combined when it comes to operations to Israel, so we are just at a totally different scale versus any of those guys. So the stake for us is very different versus the stake for them. So as you can imagine, we are having a very rigorous process for assessing the safety and security conditions of flying to Israel. The fact of the matter is that Israel has been operating airports very safely even throughout the world. I mean, nothing has happened, okay? Now the European system, EASA, have lifted the classification, the board classification of Israel. So Israel became as benign as operating inside Europe from a regulatory perspective. So we think that conditions are right and prevailing for operations to Israel. Of course, you can still take a commercial position, whether you want to operate or you don't want to operate or you're seeing that this is still risky. Is this totally risk-free going forward? Probably not. I don't know how certain you can consider the situation over there. But I think it has reached kind of a different level now in terms of calm, in terms of opportunity for peace than what it was before. So with that regard, I think from a safety security perspective, we feel confident and comfortable with the decision that we have taken. And given our stake at Israel being the largest inbound carrier to the country and being as big as all the European airlines combined, we're seeing that this would be the right decision.
Ian O. Malin: So Jamie, in terms of your overall ex-fuel CASK band between 0 and 13%, I would weigh on the -- closer to the 0 side, not closer to the 13% side in terms of CASK improvement quarter-on-quarter. So the net other expenses line will be heavily weighted to the second half, so that's where we start to see the increase. Like I said earlier, 42 sale-leaseback aircraft this year anticipated versus 16 last year. No, right now, there's very limited engine sale-leasebacks this year versus last year, but most of the benefit is going to come from the aircraft. So that will be a tailwind like you say. In terms of fuel, we've already talked about that. We think that, that will continue. The pricing is favorable and the hedging is in line so that's a big benefit there. In terms of staff, I would say that part of the inefficiency in Q1 was around the Middle Eastern disruptions as well as the ramp-up as we started to return to growth. I would have expected -- we would think that, that would come down even more, but we have now all this disruption around Abu Dhabi that we have to deal with. And so that will create inefficiencies. But I think in general, the overall crew utilization metrics are improving as we focus on that as one of our key KPIs, but there are -- there's some noise coming through all the big changes that are happening that put some question marks on that. Maintenance, as long as we're holding ceos, we're going to have higher maintenance costs, even as basic as some of our aircraft component support agreements. There's a matrix in these agreements. When an aircraft hits a certain age, the rates step up, simple as that. So that's why one of our key initiatives in terms of executing the strategy is to make sure that we exit these ceos because when you exit that, you then -- the fleet drops down into the lower tiers, the more cost-effective tiers. So that will continue to see pressure. But as you saw from my chart in last quarter, we start to accelerate the return of ceos and those will come out. There will be costs associated with redelivering but then those costs are finite and out. So in terms of airport and handling and routes, there's nothing we can do about the en route charges. They are what they are, but they affect everybody, maybe to some extent, us more than others because of our network. Some of the highest increases affected some of our countries where we fly over. So depending on how your network flows across Europe, you see different rates, and you can, I think, probably download those rates to see what that looks like in terms of impact. And then in airports, we mentioned that this was an area of extreme focus and it is part of why we're looking at the overall network design. But we only spoke to you about 6 weeks ago, right, in terms of the last one, and it takes a bit more time to rebuild the network and reallocate. But that's precisely why we've identified Central and Eastern Europe as our core strategic focus because it satisfies the 2 criteria in terms of benign and market leadership. And so we'll have to think about other secondary airports as well as the gaps within our footprint. So we still have, I think, a lot of opportunity across Central and Eastern Europe, certainly further south in terms of the Balkans and even in our core markets like Poland and Romania as well as looking at other gaps like we just opened up a base in Bratislava or reopened our base in Bratislava that we hadn't had in a while. So that's filling out some of the places where we're not there. We still have opportunity in the Baltics as well. So there's still opportunities within the footprint that doesn't require us to put more capacity on top of existing capacity. I will point out for the audience that distribution and marketing looks high in terms of 18% unit cost increase. In nominal terms, that's EUR 9 million of increase. And what's driving that is just the growth that's coming back into the system. So when you sell -- so last year, we were not growing. We were maintaining flat capacity. This year, we returned to growth, so we had 11% capacity growth in terms of ASKs. When you sell tickets in advance for the summer season, which is what Q1 is all about, the ticket sales go into the balance sheet in the form of unflown revenue, and then you book the revenue when you fly the passenger later on in the summer. But the credit card processing fees that are associated with that ramp-up get incurred as a cost, and that's why you're seeing that increase. So more than half of that distribution and marketing is associated with the return to growth. And the rest is a retiming of some of our marketing spend but it's coming in currently under our budget. So there's no issues with distribution and other -- distribution and marketing. So overall, as I mentioned, depreciation, we had a one- off in there. So that was roughly EUR 0.03 associated with the early return of a ceo aircraft. And then you have a different comp from the wet leases. There were 10 wet leases that were not attracting depreciation. And so depreciation, actually, most of these lines have come in under budget this quarter versus what we had for internal purposes.
Harry J. Gowers: It's Harry Gowers from JPMorgan. I've got a couple of questions. The first one, just on the midterm growth. I appreciate there's still a lot which needs to be finalized with your partners on the fleet. But I mean is that 10% to 12% number, is that kind of like a fleet CAGR number? Or will the ASK growth be higher than that as aircraft are unparked? Second one, just on the refocus on CE in terms of the network. Obviously, that's still quite a broad area. So any early ideas where most of the growth might be focused country-wise? And then last one just on winter. If the winter capacity growth is stepping down, how should we maybe be thinking about the winter losses? Because in theory, they could improve, I guess, if you're flying less into the shoulder season. So just any thoughts in terms of the mix of utilization, the winter network, what to do with some of these aircraft, which are coming back in, winter losses, all of that kind of stuff?
József Váradi: Let me go one by one. So midterm growth, we are 10% to 12% talking about capacity, of seat capacity. So this is the blend of unparking, reallocation from Abu Dhabi and the new aircraft deliveries and redeliveries of old aircraft. So kind of -- you take those kind of 4 components and this is the blend of it and the net output. So 10% to 12%, this is capacity. Now I think you'd probably appreciate that there are certain industry lead times here when it comes to renegotiating with Airbus. So some of the aircraft, we're going to take delivery already painted with there. So I think it's going to be kind of hard to change. But that kind of industry lead time is roughly around 12 months. So I think beyond 12 months, we can have more room to negotiate. Within 12 months, we don't have much room to negotiate. So please take it like a midterm really, not like an imminent change what we can affect in terms of capacity. But certainly, over the next 2 to 3 years, we think it's very achievable. Then the question of where exactly in Central and Eastern Europe. The good news is that actually we are seeing fairly consistent pictures across all the markets in Central and Eastern Europe. I mean, Central and Eastern is quite an extended geography in terms of number of countries, our positions, our strengths in the region. So I mean, [indiscernible] announcements coming out of the system fairly frequently, how we're going to be deploying aircraft. But I cannot disclose this to you. I mean, obviously, this is competitively somewhat sensitive. But we don't look at 1 or 2 particular markets. We are looking at the region across the board, across all the markets. And the good news is that, I mean, we are effectively seeing the same picture everywhere. And you will see that a lot more announcements will be happening when it comes to expanding our business in Central and Eastern Europe. With regard to winter capacity, I think we just need to mind a few things here. I mean, one is, obviously, we're going to be much focused on the financial metrics. We are not going to expose the business to loss-making or cash loss-making flying. So there is going to be some level of rationalization with that regard. I think every airline is doing it. Secondly, we have to look at all these kind of variables on capacity like the Abu Dhabi capacity, how that gets redeployed or not when we are lifting grounded aircraft, what we do with that. So it is quite a juggle but we have to do to make sure that we are optimizing performance versus the available capacity what we have. But I think you should be expecting us to be very rational and financially focused with that regard.
Dudley Shanley: It's Dudley Shanley from Goodbody. Two questions, if I may. The first one is quite short term. If I think of the slightly softer language on RASK in Q2, obviously, you've explained Abu Dhabi and Israel are in there, but can you talk us through the underlying performance? And then thinking long term about the slower capacity growth that you've outlined, can you talk us through your thoughts on cost efficiency? I think particularly on airport charges and staff costs, how you see that playing out?
József Váradi: Yes. So Q2 RASK, we think underlying business is fine so we are not seeing any major shifts on consumer demand. But Israel is a drag. Abu Dhabi is a drag, but all are kind of predictable in terms of timing and the term of impact. So I mean, yes, I mean, we have to suffer some pain from that, but we think we are doing the right thing for the better of the business over the long run on a structural basis. So -- but yes, there is a bit of a drag of those two. But beyond that, we are not really seeing any major things. Bookings are intact, actually quite strong. And we are not concerned by any change in that. I mean, we have this discussion basically with everyone, with you and the media before every season. So what is changing in terms of consumer sentiments. People want to fly. I mean, they may change some of their travel profiles. Maybe they don't go to 5-star hotels, they don't go for 2 weeks, but they go to 4-star hotel for 5 days. But people continue to go. They fly. So we feel comfortable with that. But with regard to some of the cost issues like airports and staff, look, I mean, staff is basically subject to 2 things. One is overall market inflation, and two, productivity of the staff. So we are clearly seeing productivity improvement going forward. So crew productivity will improve as capacity prediction becomes more stabilized, more predictable, that will improve productivity. And I think we are kind of entering that age. With regard to inflation, inflation is what it is. I think we have to go with the market. But I would say that relative to the industry, we will continue to benefit from lower labor cost environment in Central and Eastern Europe than being in Western Europe predominantly. And then with regard to airport costs, I mean, that's a more kind of a rigid issue. I mean, you can't just change airport cost overnight. We were not growing for like 18 months so we were stuck with airport cost on that basis. Now we started growing, and obviously, we are leveraging that growth. And also, we are changing the mix. So you will see us allocating capacity towards a lot lower-cost airports going forward through the expansion in Central and Eastern Europe. So we think it will improve but it's going to be a gradual process.
Conroy Gaynor: It's Conroy Gaynor from Bloomberg Intelligence. So I had one on leverage. Obviously, with the changes you're doing to the fleet mix going forward, is there anything we should be thinking about in terms of how that might impact the outlook for net leverage ratio? And then the second one, related one, just on your focus more on Central and Eastern Europe. Are there any markets there where you think might still be a bit immature and you might see some price stimulation as you're putting more capacity into those markets now?
József Váradi: I take [indiscernible] and to leverage. Look, I mean, CE is our bread and butter. That's kind of home for Wizz Air. We are the leading airline. Every fourth passenger flying in and out of Central and Eastern Europe is flying Wizz Air. So we are the dominant market leader. Even our next best, if you want to put it that way, the other guys, they are 20%, 30% behind us in terms of overall presence in Central and Eastern Europe. So I think we know the market. We have discovered the market. We have some white spots here and there, and we think that we can address them, especially some of the regional markets in Central and Eastern Europe. But it is not like going the wide East that we have to rediscover everything what is happening there. So I would rather say that I think we are just building on our existing strengths and enhancing those strengths going forward. And as I said, we are not spotting like 1 or 2 opportunities here and there. We are seeing quite a consistent set of opportunities arising. I mean, I think 2 very exciting announcements we have been making recently. I mean, one was the opening of a base in Yerevan, Armenia. This is building on the strength of our Georgia success flying into the region of the Caucasus. We already developed a significant kind of inbound network to Yerevan doing very well. And that was kind of a logical next step to confirm it as a base operation, actually taking advantage of the lower cost base of a base operation over there than flying inbound. Then very recently, a few days ago, we just announced the opening of the second Warsaw airport in Warsaw Modlin, which I think is also very exciting because that creates a low-cost airport alternative in Warsaw. We are, by far, the largest low-cost carrier in Warsaw by far, probably 3x the size of the other guys. So this is again just reconfirming our strengths and expanding on our strength there. And you should be expecting some of these movements happening fairly frequently in the next few months when we are making further announcements.
Ian O. Malin: In terms of leverage and the net leverage progression, so we're committed to building the fortress balance sheet, the kind of business that people want to invest into and that we want to work at. That's ultimately the plan that we're going after. We think that the right number is 2x leverage, and we think that we want to get there by -- certainly as quickly as possible, but we're solving towards an overall fleet financing strategy that delivers that on a sustained basis by 2030. And so that will require us to diversify our funding sources. So we currently take advantage of sale-leasebacks as well as JOLCO and finance leases. Both JOLCO and finance leases are effectively ownership-like structures. And so we already have a percentage of our fleet that we own, even though we don't own it just yet but we will take ownership of and they are treated differently. The problem with moving from -- away from the sale-leaseback structure is that it does add more leverage to the business because you're putting the whole asset on your balance sheet. As you're taking the depreciation over a different profile, you have to put the whole asset on your balance sheet versus just the lease proportion under IFRS 16. So that will put upward pressure on leverage. But ultimately, what it will do, as we discussed in prior periods, is it will help us reduce the cost that the business takes through the P&L and ultimately give us more certainty with regards to financing. At this point, given the size we are, and that size will change based upon the conversations that we need to have around the overall growth rate, but given the size of the business that we are, we need to make sure that we have other funding sources in place. And so that's why we're putting this initiative in place to buy planes. And we think that we want to be roughly 40% to 50% owned by 2030. So we're currently less than 20% owned, and we want to get to 40% to 50% owned by 2030. That will require different funding sources. I think we have 5 people online.
Operator: [Operator Instructions] We'll take our first question from Jarrod Castle of UBS.
Jarrod Castle: You withdrew your full year guidance and that probably would have been understandable given Abu Dhabi, but you've given a lot of color around that and the net effect. So I just want to kind of get an idea of what made you a little bit less confident to have full year guidance. Or what are some of the building blocks that you can give? I think you've given capacity, for instance. Just on Abu Dhabi, I mean, where do you think you got things wrong? I mean, obviously, they've got a short-haul and a long-haul network operating from there. So why couldn't you get the revenues that you were hoping for to more than offset the costs, I guess? And then one of the other strategic things you raised with the full year results was around your thinking on sale and leaseback. I mean, when can we get a bit more definitive? You've obviously got this 40% to 50% owned by 2030. But obviously, sale and leaseback profits are in people's numbers. So just like a bit more granularity on timing of that and around the CapEx.
József Váradi: Okay. Maybe I'll kick it off with Abu Dhabi. Where did we get it wrong. Look, I mean, I think what happened was that the fact pattern of decision-making to enter Abu Dhabi 6 years ago was totally different from the fact pattern today. And I think you should see it as a strength of the business because effectively, we are not sticking to some decisions if the circumstances change fundamentally and we are reassessing the business. We are reassessing the opportunity on the basis of the facts on the table at a given time and make decisions on that basis. And no matter how tough a decision like this is, but we were prepared to take the right decision as opposed to continue to drag ourselves into something just because 6 years ago, we thought about it differently. So I think that's a very important principle matter, but I think you probably want to consider. So I would say that if you really kind of boil it down to 1 or 2 issues, what went wrong in Abu Dhabi. So imagine that our network only reached 40% of the market potential in Abu Dhabi. On 60% of the market, we were effectively blocked out. So if you look at the construct of market demand in Abu Dhabi, 60% of the market comes basically from 3 countries: India, Pakistan, and Saudi. And effectively, we were not present in any of those markets. We got a little bit of Saudi to Marina, but the main flows are Riyadh and Jeddah and those sort of places. And we got no access to those markets. Single biggest market is India. Second largest market is Pakistan. And when we entered the market, we had a very clear understanding and commitment that we would be provided access to those markets. So yes, we would start with the 40% to build it out but we would be entering the 60% as well. And what really airlines do in that part of the world is that they make all the money on that 60% and waste almost all of that, if not more, on the 40%. So we were essentially kind of caged into the best 40% of the market without giving us access to actually make real money on the most important consumer flows, those countries. And while we continue to work on market access to those markets and we felt that we had definite support of the Abu Dhabi ecosystem for achieving that, that support changed. So that's a very significant change to the market. And I think we have been talking about hot and harsh. I mean, that's also structural because, I mean, you may argue that 2, 3 years down the line, maybe that's a no issue because we're going to be behind that, that kind of a grounding cycle on the engines. But 2, 3 years is a long time as you all know. And I don't think that we have that level of patience, especially in light of not being able to access the better 60% of the market. And then you had a flare-ups here and there on the mining demand and adding cost to the system. So I think the situation just completely changed over the last year or 2 versus what we -- the conditions we were assuming in our investment case and what we were working against operationally and commercially in the marketplace. So simply, we just had to sit back and look at the new facts of the matter and make a decision on that basis as opposed to sticking to some legacy decision. And irrespective of the efforts what we have made, we think that this is the right decision for correcting the business based on the new fact pattern of life in Abu Dhabi.
Ian O. Malin: Okay. In terms of the full year guidance and the net effect and why we've wanted to pull that back is, I think, Jarrod, it just comes down to the uncertainty. So there's uncertainty in terms of the medium- to longer-term pricing environment. We've got good visibility in terms of where we are right now, which is why we've given you Q2. But we're still -- as of, I think, Tuesday, we were like 60% sold for the quarter. And for September, we're like 45% sold for the quarter. So we don't have visibility on the second half. And so we want to be cautious from that perspective. But in terms of capacity, sure, there's a view we can take on the Abu Dhabi capacity. We mentioned that the neos are going to get redeployed rapidly and the ceos will likely take more time to get deployed. But don't forget, we haven't even finished operating that joint venture. We still have plans to operate into August. And then we have to figure out how we get them out, under what circumstances and where they go and get reregistered. So there's a whole process that needs to be followed there. But that's not really that big of an issue, right? That's 8 aircraft. But think about all the other pieces that are moving at this point. So we plan on down-converting our XLRs. And so out of the 47 that we have, we can roughly convert half of them without anybody saying yes or no or cost involved. There is an option that we hold that we can do that. So we need to look at that. We also need to look at the unparking scenario and what the discussions with Pratt & Whitney are around getting access to engines and making sure that we accelerate that unparking profile in line with the 2027 targets and what impact that will have on fiscal year '26. We also want to make sure that we get rid of ceos. It's easier said than done. As I mentioned, we did 1 this year. There is a cost to it, depending on where it is in its maintenance cycle. And that's not something that we can control ultimately. The decision sits with the lessor and the decision sits with the lessor's ability to remarket that aircraft. And lessors are likely to be open to taking back aircraft because the market is starved for aircraft, certainly short-term aircraft. But there is still a remarketing effort that needs to happen, and nobody wants to be stuck with the aircraft part. We don't want to be stuck with the part and certainly, the lessors don't want to have an aircraft that's not attracting rent. So there's just a bit of a give and take. So if you take the combination of Abu Dhabi uncertainty on capacity, XLR changes, ceo redelivery capacity changes potentially, unparking capacity changes and then obviously the discussion that needs to happen with Airbus, because that's a big part of the overall path towards this 10% to 12% seat capacity growth, there's just -- and the revenue environment not having clarity post, say, the next, say, 90 days, it makes things very hard for the full year. And we just don't want to get it wrong having seen what that has done in the last few cycles. In terms of the sale-leasebacks and when we're going to get more granularity, it's underway. So we're progressing this initiative hard. But there's nothing we can do in this fiscal year. This is a 2027, 2028 initiative. The deliveries that are anticipated for this fiscal year into early next fiscal year are committed and awarded to lessors, whether they're sale-leaseback or JOLCO. There's only a finite amount of JOLCO investors. And so we round out the rest with sale-leasebacks and with finance leases. And that's the plan for the near term. And as we start to talk about 2027 and 2028 onwards, we'll give you that granularity you need for the model as we ramp up to that 40% to 50% owned by the end of 2030.
Operator: Our next question comes from Stephen Furlong of Davy.
Stephen Furlong: One for Ian and one for József. So Ian, maybe it's more me, just on the Q1, I just want to ask you maybe it's accounting or something, but I'm just surprised how the unit fuel bill fell a lot, particularly when you have to add in things like SAF costs. And I was just wondering, and you have a kind of a minimum color or floor as well. So maybe just go into that a bit, because also I see there's a net gain on derivative financial instruments or a loss. You might just talk about that because you didn't mention about that. And then on the aircraft, József, I mean, on the one hand, I know you're saying that you'll swap a lot of the XLRs for A321s, the normal ones, but also you may retire or the ceos get that. In terms of Airbus, are you actually looking at deferring some aircraft, i.e., slowing the growth for the CE market? And how do Airbus feel about that? I mean, obviously, they have their own issues, i.e., is there a penalty if you are thinking about deferring some aircraft? I know you're not thinking about canceling any orders, but are you deferring aircraft?
József Váradi: Okay. Let me pick the second one. But before just picking the second one, I have just one comment. I didn't want to eat Ian's breakfast here with regard to fuel cost. I mean, maybe this is the time now you guys recognize the superiority of our aircraft versus our competitors. I mean, those guys talk about how cheap they buy aircraft, but you also have to operate the aircraft. And this is where you see the operational benefits of the A321neo. This is an aircraft that beats everything else out there, all the Boeings, all the other Airbus variants. And this is the time when you see that when there is an input cost change, a significant input cost change like fuel and to what extent this aircraft benefits from that versus other aircraft. And I'll leave it to Ian to answer it in more detail. With regard to Airbus and kind of the Airbus negotiations, I think the best way to think about this, Stephen, is that you take the aircraft order what we have, 280 aircraft. It is right now scheduled to be delivered between now and 2030. I think what's going to happen is that this is going to be extended from 2030 to 2031, maybe 2032. So certainly, we are not canceling. We think it's a very precious aircraft order. It has a lot of inherent value. I mean, we are just talking about fuel cost, what operational benefits that order creates and generates for the business. So we're going to hang on to it. But the delivery stream is going to be flattened, if you wish. It's going to be extended from 2030 to 2031, 2032. But I mean, you should see this really like a juggle of 4 different components, the new aircraft deliveries, the acceleration of the unparking, the retirement of the ceo aircraft, and reallocation of existing capacity from Abu Dhabi. So we want to make sure that we don't distress the company with too much growth. We want to have growth that can be delivered profitably. So the focus is on profitability, not on growth. So that's why we are moderating growth. But at the same time, we are hanging on to the aircraft order so this is going to be a deferral. Now I mean, this is obviously a matter of negotiation, but I think we are in a good position because Airbus is short of supply versus their contractual commitments. So Airbus actually would welcome any short-term deferrals in the next few years just in order to deliver their contractual obligations to the market. So we think we are in a good position to have a good outcome when it comes to negotiating this with Airbus.
Ian O. Malin: Yes. So in terms of the fuel question, Stephen, so Joe is absolutely right. So the -- it's the efficiency of the A321neo that's benefiting and also just comparing year-on-year. So last year this time, we had just experienced the initial wave of grounding of aircraft due to the powder metal inspection issue, and we were doing everything possible to protect capacity. So that was the extending of the ceo leases that we're now trying to get rid of, but also even bringing in older ceos on a dry lease basis. We brought in 3 ex-Wizz planes in order to secure capacity and we had the wet lease aircraft. The wet lease aircraft were also legacy aircraft, in certain cases, not even Airbus. And they were smaller gauge aircraft and fuel-inefficient aircraft. if you now compare last year's fleet mix between, say, legacy aircraft and neo aircraft compared to where we are now, having had the benefit of the deliveries of A321neos, I think our average seat count, don't hold me to this, but I think quarter-on-quarter went from 219 to 225. So we're benefiting from a higher density as well. We're seeing now more efficiency in terms of the asset type, the technology as well as the overall gauge of the aircraft, helping give us more opportunity to fly passengers with the same trip cost or marginally higher trip cost. So that's one thing is that the technology is better. The other thing is that if you look at our hedge coverage ratio, we're like 73% in terms of fuel for F '26. That's lower than it's been. And that's just simply the growth is -- we need to catch up with the growth. And so we will be obviously keeping our hedging activity going because we hedge according to policy. But that shows that 27% of our fuel is unhedged. And in this environment where we've seen very favorable fuel pricing, it just exposes us better to the cheaper pricing. So it's a combination of those factors, Stephen, that's driving the fuel efficiency but it's predominantly the technology. And that's why we're so excited about finally getting to the point where we are a 100% A321neo operator with the best fuel burn out there on a narrowbody perspective, and that will give us the benefits that you're seeing start to come through in this P&L line.
Operator: Our next question comes from Andrew Lobbenberg of Barclays.
Ian O. Malin: Andrew, it looks like you're muted. Go ahead, Andrew.
Andrew Lobbenberg: The 10% to 12% you're talking about, this is -- just to be absolutely clear, this is seats or is this ASKs? Because I imagine the stage then changes quite a bit as you reduce Mid East exposure. And is that sort of proper midterm? I appreciate it won't happen immediately, but is it from '27 through to the 2032 you're talking about? Or is it a shorter-term thing? And then on the XLRs, you just took a delivery of a second one onto Wizz Malta. Is that going to be diverted and sent to the U.K. to do service from there? What are you going to do with it? And if I dare a third one briefly, the Wizz Abu Dhabi flight crew, are you able to deploy them to Europe or have they got the wrong licenses so you just lose them and you have to recruit new people in Europe for the planes that are reallocated?
József Váradi: Yes. Thanks, Andrew. Well, with regard to the growth measure, whether this is ASK or seats, well, wish I see. I mean, this is still subject to negotiations with Airbus so please don't take these numbers like engraved in stone. I mean, this is still yet to be confirmed but this is what we are having on the table. And actually, we have pretty positive reaction to that by Airbus. Well the period effect is more like from mid-'26 to mid-'28. So I think that's what I would look at like this period of 2 years, and we would be moderated to that level predominantly. But with regard to the XLR, yes, I mean, very likely, we will be looking at diverting XLR capacity to the U.K. So we don't think that exploiting XLR from Central Europe, whether this is Wizz Hungary or a Wizz Malta operation is the right priority given where we are. But we're seeing that we are still excited by the U.K. opportunity. So if you want to put it very straightforward, XLR is now limited to the U.K., nothing else. With regard to the Abu Dhabi crew, it's a little complicated because we have a hugely diverse set of people in Abu Dhabi in terms of nationalities with very different kind of visa situations. You know the regulations in Europe that it tends to be fairly restrictive on visa. So we are offering everyone the opportunity to come to Europe, whoever wants to come and whoever can come with regard to their visa circumstances. But beyond that, we are also catering for finding jobs for our people within the region. So as a matter of fact, we have been organizing kind of a job by other UAE-based carriers, all of our competitors. And some of them are in needs of hiring new people. I mean, I think we are very well established as a very high-quality operation with very good quality people. So there is very high demand locally for our people. So I would say that probably the majority people would stay in the region, going to other airlines, but a portion of the people would come over to Europe, whoever wants and whoever can. So in terms of restocking the fleet, yes, I think mostly it would be new recruits from the markets where we would be redeploying this capacity.
Operator: We will take our next question from James Goodall of Rothschild & Co. Redburn.
James Goodall: I've just got a couple on the Central and Eastern European market, given the renewed focus here and I guess this is a market that has changed a lot since 2019. Ultra low cost capacity in terms of market share has increased by, what, 15 points to 50% this year. Ryanair has increased their market share by 10 points. So with that in mind, I guess firstly, with your current market share at 25%, do you think it's still feasible to grow at 2x to 3x GDP without diluting your existing returns? Secondly, your growth rate implies market share gains. And historically, you've talked about there being lots of low-hanging fruits in CEE. Is this still the case? And who do you plan on taking share from? And then I guess finally, when we think about the underlying returns profile of Central and Eastern Europe, do you think it's changed since 2019 now that there's greater competition and market share between the ultra low cost players?
József Váradi: Yes. I guess there is a bit of an implied assumption in the questions that now Ryanair is largely containing our ambitions in Central and Eastern Europe. That's actually not the truth. Our market share has been building up. So even if you look at the last kind of 5 years since COVID, our market share went from 20% to 25%. We are clearly the leading airline. Central and Eastern Europe remains a very strong performer operationally, financially for the business. And we're seeing that Central and Eastern Europe is still a very significant opportunity for Wizz Air to grow, given the higher GDP growth than predicted for Western Europe and given the low level of propensity to air travel. And I think the market still requires a stimulus to ramp up on those metrics relative to Western European levels. So we stay -- we remain very confident with that regard. If you really look at the marketplace, I don't think the real question is what's going to happen between Wizz Air and Ryanair in Central Eastern Europe. Likely both airlines will continue to grow. But unlike Western Europe, where basically you have some major legacy carriers controlling their home turf, you don't have that in Central Eastern Europe. The legacy side of the industry in Central and Eastern Europe is extremely fragile. You take Romania, for example. Wizz Air is 50% of the market in Romania. We are 3x, 4x bigger than the prevailing national legacy carrier of the country TAROM. And I don't think that situation is going to change anytime soon in favor of TAROM. It's just going to further degrade going forward. But the trends are about the same everywhere else. Either countries don't have national carriers or these national carriers are diminishing. And also, you are seeing that actually inbound legacy carriers are fairly contained in their ambitions. So you go back to 2004 and you look at aggregate legacy capacity flying in and out of Central and East Europe and you look at it today. This segment has not grown a single seat. So basically, the entire market growth has come through the growth provided by us, most importantly, because we are the market leader and some of the low-cost carriers. So I don't think this trend is going to change. So the real issue is not what's going to happen between the 2 airlines, but the real issue is what's going to happen between the ULCC segment and the legacy segment. And I think you should expect ULCC to continue to pick up the pace, to continue to grow, to continue to gain market share at the detriment of the legacy sector. But with regard to low-hanging fruits, I still think that the most low-hanging fruit in Central and Eastern Europe is the opportunity to stimulate. If you look at propensity to air travel, CE still stands less than half of Western European level. So I think there is a long way to go. There is economic emergence and convergence through GDP development. But this is not an overnight process, of course, that takes a pace, takes the time. But I think this is clearly happening and we will continue to benefit from that. But at the same time, we are also seeing some spots here and there where we're seeing that the market is underpenetrated, where we can do more and we are going to address that. But I think still the driver of the business is market stimulus to build propensity to air travel. Returns in CE, I think returns to CE will remain very strong, given the overall market dynamics and also given what we actually can bring to the party as an operator when we are clean of our issues. I think at the moment, the problem what we have is that we are tainted by a number of factors, most importantly, the Pratt & Whitney engine issues. But imagine this business, look at it 2 years from now. So 2 years from now, we should have the whole fleet flying, no Pratt & Whitney drag, and we should have that fleet to be constituted solely by A321neos, basically by far the best aircraft in the industry, giving us operational leverage and operational superiority versus the industry. I mean, that should be really creating a very strong position for us to be able to be the prevalent stimulus in the market to take benefit of all these market movements on GDP convergence and increased spend of consumers as a result.
Operator: We will take our final question from Volodymyr Shkuropat of Trigon.
Volodymyr Shkuropat: Just coming back to the short term for a moment. You previously mentioned that your Q2 RASK is flat quarter-to-date. But can you give us any color on the dynamic of RASK in current bookings for August and September, what you see there? Is it also flat or there is some deviation?
Ian O. Malin: So what we're seeing is a slight strengthening of RASK further out, and so that's giving us some positivity. So obviously, we had a RASK -- we had some RASK challenges around all the disruption that we faced in Q2. And now we're seeing some offset of that coming from the August, September and October bookings.
József Váradi: All right. So I guess that concludes the meeting. Meeting adjourned. Thank you for coming. Thank you for the questions. Bye-bye.
Ian O. Malin: Thank you.
Operator: Thank you for joining today's call. We are no longer live. Have a nice day.